Operator: Good evening, ladies and gentlemen. Welcome to the Fourth Quarter 2025 Results Conference Call. I would now like to turn the meeting over to Mr. Rob Wildeboer. Please go ahead.
Robert Wildeboer: Good evening, everyone. Thank you for joining today. We always look forward to talking to our shareholders, updating you on our business and answering your questions. We also note that we have other stakeholders, including many of our employees on the call, and our remarks will be addressed to them as well as we disseminate our results and commentary to our network. With me this evening are Pat D'Eramo, Martinrea's CEO; our President, Fred Di Tosto; and our CFO, Peter Cirulis. Today, we will be discussing Martinrea's results for the fourth quarter and full year ended December 31, 2025. I refer you to our usual disclaimer in our press release and our filed documents. On this call, Pat will outline some key highlights and achievements in 2025, touch briefly on the quarter and comment on some of our key initiatives, including machine learning and artificial intelligence. Fred will discuss operations. Peter will go over the financials and our outlook for 2026 and beyond. And I will conclude with some comments on the current trade environment, capital allocation and valuation. Then, we'll open it up to Q&A. So without further ado, here's Pat.
Pat D'Eramo: Thanks, Rob, and good evening, everyone. Let me start with a few highlights from this past year. Our safety results continue to be world-class. Our total recordable injury rate or TRIF was 0.71 in 2025, which is among the very best in our industry and much better than the average, which is around 3. We've said it before, there's no better way to show your people that you care about them than to keep them safe. Moving on, we generated just under $200 million in free cash flow in 2025, a new record for the company. This is now the third year in a row where we have generated free cash flow in the $150 million to $200 million range. We have delivered on our commitment of being a consistent generator of strong free cash flow. Our track record is now well established and will continue going forward. We accomplished this while continuing to invest in the business with $238 million in capital expenditures, which is lower than we spent in recent years. This reflects improved capital management, including optimization and reuse of our existing assets. Given the strong cash performance, we were able to reduce our leverage with net debt to adjusted EBITDA ending the year at 1.35x and below the upper end of our target of 1.5x or better. We achieved this while resuming our NCIB activity, spending $8 million to repurchase approximately 779,000 shares in the fourth quarter. Next, we improved our adjusted operating income margin as we continue to drive operational improvements across the organization and obtained commercial recoveries from our customers for EV volume shortfalls and lingering inflationary costs. We also won multiple supplier awards, including the General Motors Supplier of the Year Award and awards from Toyota, Volvo, Nissan, ZF and Caterpillar. Next, our advanced manufacturing team or AMT has made good progress on the machine learning installations across the plant network. To better support our machine learning strategy, we acquired a 10% equity stake in Polyalgorithm Machine Learning or PolyML, a provider of advanced machine learning and data analytics solutions that serve as the core intelligence behind Martinrea's machine learning AI. PolyML uses a proprietary technology called feature importance insights or Fiins AI to expose the most valuable signals in complex data sets. Most conventional black box machine learning focuses on predictive accuracy, and you can't see inside. PolyML technology creates more accurate models that are transparent and fully explainable. This is a unique breakthrough feature. This approach is driving significant improvements in weld quality, efficiency and energy usage. It's also deployed in our press health monitoring, providing an early warning system that will substantially reduce unplanned downtime and maintenance costs. Fiins AI is a key component of Martinrea's machine learning initiative, and we expect our relationship with PolyML to grow over time. Back in October, we acquired the assets of Lyseon North America. As a reminder, Lyseon was a single plant operation in Tulsa, Oklahoma, engaged primarily in manufacturing metal parts and subassemblies for school buses in the U.S. This acquisition adds business with International Motors, formerly Navistar, a high-quality customer that the company sees a lot of opportunity to grow with over time in both buses as well as commercial vehicles. It also broadens our product offering and further diversifies the business in nonautomotive markets. I'm happy to say that the integration is going very well. We are pleased with the progress that we're making there and the prospects of eventually adding more business to the facility in the future. 2025 was a busy year with notable achievements on all fronts. I would like to thank our team for their hard work and dedication in delivering these results. Turning to the fourth quarter, we're pleased with our performance, both operationally and financially. Adjusted operating income margin was up year-over-year as we continue to drive operating improvements and negotiated commercial recoveries with our customers, largely for volume shortfalls on EV programs. Also recall that Q4 of last year was impacted by an inventory correction in North America that affected some of our key programs, most notably with Stellantis. We continue to navigate through the impact of tariff costs on our business. For us, the vast majority of parts that we export from Canada or Mexico into the United States is compliant with the terms of the USMCA and therefore, not subject to tariffs. We do have some exposure, most notably as it relates to Section 232 tariffs on steel and aluminum products that impact some of our components. I'm happy to report that we've been successful in recovering the vast majority of our tariff costs through commercial settlements with our OEM customers. This is a remarkable achievement. Our supply chain operations, sales and commercial teams worked tirelessly to make this happen, and we're proud of it, and we appreciate all of their efforts. Looking at the full year of 2025, we met our outlook for sales and adjusted operating income margin, which came in at 5.6%, above the midpoint of our 5.3% to 5.8% outlook range. We spoke on our last call about the ongoing negotiations with our customer on some sizable commercial items mainly related to EV volume shortfalls. And that these could fall in either the fourth quarter of '25 or the first half of 2026. These discussions are progressing well, and we intend to close on these items in the first half of the year. Most importantly, and as I mentioned earlier, we generated a record free cash flow for the year at just under $200 million, well above our outlook of $150 million to $175 million, reflecting our operational performance and our CapEx discipline. We expect another strong year in 2026, and Peter will have more to say on our outlook for 2026 and beyond later in the call. With that, I'd like to end by thanking the Martinrea team for their tireless work and continued dedication to make our business better every day. And now I'll turn it over to Fred.
Fred Di Tosto: Thanks, Pat. Good evening, everyone. As Pat noted, we are executing well, both operationally and financially in the face of ongoing industry dynamics pertaining to trade, tariffs and electric vehicle volumes. We are doing well, managing what's in our control and mitigating what isn't in our control through a focus on continuous improvement, overhead cost reduction, leveraging investments in automation and machine learning and recovery of costs related to tariffs and volume shortfalls on EV programs through commercial settlements with our customers. We have full confidence in our team, and I'd like to thank our people for their dedication and hard work in delivering these results. Turning to our segments, starting with North America. Q4 adjusted operating income margin came in at 6.9%, up 110 basis points year-over-year on the flow-through impact of higher production sales, improved operating performance and higher favorable commercial settlements year-over-year. We ended the full year 2025 at an adjusted operating income margin of 7.3%, up from 6.7% in 2024, a nice year-over-year increase. We continue to operate at a healthy margin in North America, the main growth engine of our business and expect that to continue. In Europe, our Q4 adjusted operating income margin improved significantly year-over-year, narrowing the loss to negative 1.4% from negative 3.6% in Q4 of last year, driven by better flow-through on higher production sales and the benefits of the restructuring actions we previously undertook. For the full year, we are approximately breakeven, a result reflective of a volume environment that remains below expectations and normalized volumes with the improvements we have made across our European operations, we will be positive in the region. Strategically, our objective is to maintain a disciplined, stable presence in the region rather than pursue aggressive growth. Our Rest of World segment delivered a much improved full year performance ending 2025 with a positive operating income margin of 1.3%, a significant increase from the negative 2.1% in 2024. The fourth quarter did show an operating loss, which reflected a lower level of favorable commercial settlements year-over-year. As we have stated before, this segment is small, representing less than 3% of our consolidated sales and results can vary quarter-to-quarter based on program timing and commercial settlements. Our strategy in this region remains deliberate and focused on maintaining only the footprint required to support our global business. In line with that approach, we signed an agreement to sell a small plant in Anting, China after the quarter. We have a strong relationship with the buyer, and we retain a minority interest through a planned transition period. Moving on, I'm very pleased to announce that we've been awarded new business, inclusive of some nice takeover work worth $210 million in annualized sales and mature volumes, which includes $180 million in structural components in our lightweight structures commercial group from Stellantis, Toyota, General Motors and Audi, $20 million in our Propulsion Systems group with Stellantis and Ford and $10 million in our Flexible Manufacturing Group with Volvo Truck and JCB. New business awards during the last 12 months totaled $340 million. Quoting activity is quite robust at the moment, and we have recently won work on a number of program extensions with various customers with a value of over $1 billion in annualized sales and mature volumes. It's important to note that while extensions are replacement work, they support our sales outlook and ultimately help our margin profile as we can generally reprice the business to fully build in the inflationary costs that we have had to absorb over the last few years. Extensions also require less capital for the same amount of volume compared to new programs, which supports our free cash flow. As you can see, we had a strong quarter of new business awards with a diverse group of customers, which we are very happy with. We feel like we have some good momentum building in this area with a very healthy pipeline of quoting activity and opportunities in front of us. A strong quarter of new business awards underscores not only the confidence our customers place in us, but also our ability to deliver the service, expertise and innovation they rely on. Winning new business, in particular, takeover work reflects our team's capacity to respond quickly to customer needs and provide solutions that create real value. That's what we do. We solve customer problems, and we're really good at it. At this point, based on this momentum, we expect a strong 2026 of new business awards, which ultimately will largely start launching in 2028, supporting our 2028 outlook, which Peter will speak to in a few moments. Thank you for your time. And I turn it over to Peter.
Peter Cirulis: Thanks, Fred. Looking at the results year-over-year, adjusted operating income came in at $55.1 million, up 37% year-over-year on production sales that were up about 7% or 6% on an organic basis, excluding $14 million in sales from the Lyseon acquisition. Adjusted operating income margin came in at 4.6%, up 110 basis points year-over-year. The margin improvement was a function of the flow-through on higher volumes and operational improvements. Free cash flow came in at $108 million before IFRS-16 lease payments or $93.3 million after IFRS-16 lease payments, up from $76.4 million before lease payments or $63 million after lease payments in quarter 4 of last year, driven mainly by lower CapEx as well as higher EBITDA and lower cash interest and taxes paid. As Pat noted, 2025 free cash flow, excluding these lease payments came in at $199 million, which is a new record for the company. Some of this is timing related, but overall, our free cash flow performance is a function of improved capital discipline and optimization and reuse of our existing assets. Adjusted net earnings per share came at $0.67, up from a loss of $0.21 in the fourth quarter of 2024. Recall that quarter 4 of last year was impacted by an abnormally high tax rate, reflecting a noncash loss that flowed through our tax expense on the P&L due to the rapid depreciation of the Mexican Peso against the U.S. dollar, and this reduced EPS by $0.40. This year, in quarter 4, the peso appreciated and we had the opposite effect, resulting in a noncash gain flowing through our tax expense on the P&L, increasing EPS by $0.30. Again, these are accounting adjustments that exist only under IFRS and do not impact cash or operating income. Turning now to our balance sheet. Net debt, excluding IFRS-16 lease liabilities, decreased by approximately $73 million over quarter 3 to $695 million, reflecting the strong free cash flow generation in the quarter. Our net debt to adjusted EBITDA ratio ended the quarter at 1.35. Our target is 1.5 or better, so we are well within our target. We did this while resuming our share buyback activity under our normal course issuer bid, repurchasing approximately 779,000 shares during the quarter for $8 million. We reduced long-term debt by approximately $113 million in 2025, lowering our financing costs by about $12 million. We believe in a balanced approach between share repurchases and debt reduction. This maintains a strong balance sheet while serving our investors and leaves us well positioned to take advantage of opportunities like we did with the recent acquisition of Lyseon and other investments we've made. Rob will have more to say on our capital allocation priorities in a few moments. Subsequent to year-end, we amended our banking facility, extending our maturity out to 2030 from 2027. We also brought 2 new banks into the syndicate, which is now up to 12. The size of the facility is unchanged other than the accordion feature being increased from USD 300 million to USD 400 million. Covenant terms remain unchanged. We have a great relationship with our lenders, and we thank them for their ongoing support and continued vote of confidence. As for the future, we are rolling out our 2026 outlook, which calls for sales of $4.5 billion to $4.9 billion and adjusted operating income margin of 5.5% to 6% and free cash flow of $125 million to $175 million. Unpacking this, starting with sales, the midpoint of the $4.5 billion to $4.9 billion range reflects a modest year-over-year change that is largely driven by 2 known and isolated factors. The wind down of the Ford Escape program, which contributed roughly $200 million of sales in 2025 and an expected decrease of tooling sales compared to an unusually strong 2025 level. Excluding these items, our underlying production sales are expected to be broadly consistent with 2025. Moving on, our adjusted operating income margin outlook range of 5.5% to 6% assumes an increase from 2025. The main assumption here is that the flow-through impact of the lower sales is expected to be offset through continued operating improvements, including our investments in automation and machine learning that Pat discussed. It also assumes ongoing commercial recoveries for EV volume shortfalls and recovery of the majority of our tariff-related costs similar to what we achieved in 2025. Lastly, we are projecting another strong year of free cash flow in the $125 million to $175 million range. This assumes CapEx comes in at approximately $300 million, which is higher than where we landed last year, in part due to some of the new business award that Fred discussed. There was also some timing impact with certain capital items getting pushed out of the fourth quarter and into 2026. But overall, CapEx is at a good level, reflective of our ongoing capital discipline. As Pat noted, we continue to build on our track record of strong consistent free cash flow generation, which is now well established. Looking further out, we see a lot of opportunity for our business, including inquiries from our customers asking us to look at taking over business from distressed suppliers. We also see opportunities from the rebalancing of global trade that should result in meaningful volumes being reshored to the U.S., increasing quote activity and potential acquisitions. We recently completed our annual budget process and the cadence of our launches should contribute to meaningful organic sales over the next few years. Fred spoke about these new business awards, product extensions and quoting activity in his remarks, and these factors solidify our view. Based on our Board-approved budgets, we expect total sales of between $5.3 billion and $5.5 billion in 2028, assuming no acquisitions. Again, this reflects the cadence of our launch activity as well as some modest improvement in the overall vehicle production volumes. Importantly, 75% of our projected production sales for 2028 is already booked and the balance coming from replacement work where we are the incumbent supplier and high probability new business opportunities. So good organic growth in a relatively flat market. This should help drive adjusted operating income margin to a range of 6.5% to 7% in 2028, which reflects the flow-through impact of higher sales volumes, continued operating improvements, including gains from our automation and machine learning initiatives and lower SG&A costs as we realize and sustain the full benefit from our $50 million in targeted savings. Note that 2027 will be a busy launch year, so more of the growth in sales and margin will come in 2028. The key takeaway is our future is bright, notwithstanding the ongoing issues from tariffs and slow EV sales, which we are effectively navigating through. With that, I would like to thank our people for their hard work and commitment in these continually evolving times. I now turn you over to Rob.
Robert Wildeboer: Thanks, Peter. Now that you've heard from our team, I want to make a few takeaway comments on where we are at with USMCA and trade issues, capital allocation and valuation. I'll touch briefly on the Mid East conflict as well. As you have heard, there are many great things happening in our company. We had a good 2025, better than many anticipated in the middle of much trade and tariff uncertainty. Operations are running well. We're embracing new technologies in a prudent way. We are seeing and capitalizing on opportunities. Our financials are really good, and we have a bright future. Regarding the USMCA and trade discussions, while there is always a lot of noise, it seems to me pretty clear that we will very likely not see any tariffs on North American-made auto parts. Scott Bessent himself told me tariffs on auto parts is a very bad idea. This is good for us, but this is a consensus view in Washington, Mexico and Canada. I also foresee no tariffs on Canadian-made autos eventually. That's what we are negotiating for, and that's what the entire industry wants. But let me make an observation that I don't think many realize, and that's perhaps our fault for not emphasizing it more. The fact is over 97% of our sales are made to assembly plants that are not in Canada. That is less than 3% of our revenues worldwide are made from sales of our products to Canadian assembly plants. Most of what we make in Canada is shipped to U.S. assembly plants already, tariff-free. And our U.S. footprint is much bigger than Canada, and our Mexican footprint is even bigger. It is clear to me that our North American auto parts sales are likely not materially impacted even if, for example, Canada faces a tariff on assembly or USMCA discussions don't go well between Canada and the United States. I do believe there is huge consensus in our industry, OEMs and suppliers alike for a tariff-free North American auto industry, autos and parts makers. See, for example, the industry submissions to the administration and Congress, and we will get there. But even if we don't, we will be fine. In terms of the USMCA and other negotiations, we are heavily involved. Mexico is moving forward with the U.S. on a renewed USMCA and Canada is definitely involved in discussions, too. Both Mexico and Canada are insistent on a tripartite deal. I note that Prime Minister Carney recently announced Canada's auto policy in our Alfield plant on February 5, my birthday. It was a good birthday present. The PM and the people wish me a happy birthday. And my present was their declaration that auto is Canada's core manufacturing industry and that this federal government is committed to it with a Made in Canada auto policy. This is good news. I strongly support the government's policy on remissions to reward companies that make vehicles here and to use the remission system as a carrot and a stick to get more assembly in Canada. Good news for parts makers and us. I strongly support the tax and grant incentives to invest here, good news again. And I support the removal of a hypothetical and unachievable EV mandate with a somewhat more realistic approach. I, like others, have some concerns about Chinese EVs in the market, but that is a quota, and Chinese EVs do not qualify for government incentives. Overall, the government has recognized the need for a strong auto industry here, and this is a good time for us in that regard. I also note that governments in the U.S. and Mexico support us as a parts maker unequivocally. The USMCA rules of origin provisions will be tightened in some fashion and the penalties for noncompliance will be increased, which is good news for North American parts suppliers and Martinrea. I believe that the U.S. tariffs on other jurisdictions on parts and vehicles in whatever form they take, will over time, encourage more manufacturing in North America. Again, good news for suppliers and Martinrea. When I go to the U.S. or Mexico, the first question I generally get is what can we do to support you, promote you, get you to invest more, get you to hire more people. It's a great environment. Our company and our industry are simply loved in the U.S. and Mexico. As you recall, we showed growth, much of it in North America over the next few years. By the end of the decade, I believe we will be at around $6 billion in revenues, give or take, without major acquisitions. I note some of our increased revenues could be from taking over a plant here or there as we did with Tulsa in November, but I don't call out a major acquisition. Now let me talk about share price and start with the USMCA context. Before Donald Trump ran for office and started threatening Canada and just about everybody with tariffs, our share price was significantly higher than today. I believe there is a USMCA cloud over our stock. As the things I've just talked about get sorted out, I believe that cloud will disappear. Canadian investors and analysts won't have to read a report every day about something going wrong in the auto industry. Note that we and other auto parts companies saw stock prices come under pressure during Trump's first term, then a recovery once the USMCA was signed. But I think there's a bigger issue here, and it's the receptivity of Canadian shareholders to auto parts companies and their valuations, at least at this time. I might not be the only person who sees this or says this. And I say that's a perception problem and not a real problem with risk or operations. Canadian headquartered auto parts suppliers are among the most competitive in the world. Look at our growth, especially outside the country. Our metrics compare favorably to any of our competitors, especially internationally. The average EV or enterprise value to EBITDA ratio for public U.S. traded auto parts companies is well over 4x, closer to 5x or more in most cases, yet we trade at a discount. And if you look at comparisons to our peer group, companies that are in similar spaces, our margins are top end in comparison, our free cash flow is top end of the range. Our leverage ratio is near the bottom of the range or very strong. And you cannot say the discount is because we are a company that has major revenue exposure to Canadian assembly plants. We have more North American sales than most of them, and our exposure to Canadian assembly plants is relatively low. I believe this discount will go away over time, starting with clarity in the North American tariff environment. Our share price was up 15% or so last year in 2025. That's a decent return. Our share price is pretty flat year-to-date. If we trade at 4x EBITDA even, our price is around $20, depending, of course, on debt levels, share levels and so forth. Our job is to get it there and a simple look at valuations in the U.S. market shows where valuations sit. Now let's touch briefly on the Mid East Iran conflict, which has rolled to markets this week and may do so for a while. Wars are generally not good for markets in general, although they could be positive for some sectors such as oil and defense stocks. Sustained high oil prices are generally not good for automotive sales, at least ICE vehicles. We anticipate that the current situation will eventually stabilize and that oil prices will stabilize too. As one industry player once said, the cure for high oil prices is high oil prices. Over the next few years, we remain bullish on the industry and our place in it. Now let's chat about capital allocation. Our philosophy has been set out on our website. We have followed it very well over the past number of years, even through COVID, chip shortages, inflation, the EV Fiasco and tariff issues. We have invested first to maintain, grow and improve the business organically through strategic investments in technology. We are a stronger company because of it and stronger today than ever before. We have maintained a strong balance sheet. Important for this industry as a supplier bidding on jobs. We have targeted a net debt-to-EBITDA ratio of 1.5x or better, and we're better now. That's where we were in 2019, and we have brought it down from over 3x in early 2022. We paid down over $200 million in debt in the past 3 years to the end of 2025. That's good, we believe. At the same time, we have repurchased shares when appropriate. In the past 3 years, we have repurchased 10% of our outstanding shares and are now down to about 72 million shares outstanding. Since 2009, our last share issuance, we have bought back almost 20% of our outstanding shares on a fully diluted basis. We are not buying back much in the last year, taking a prudent approach given the tariff situation, but resumed in Q4. We will continue to balance our capital allocation, but frankly, the intrinsic value of our shares is higher than the market value as I see it. So we have to work on that, and we will. I see the way companies in the U.S. are valued more richly than we are, and I reflect we are as much a U.S. company as most of them are. I do remember times when we and other Canadian companies trade at a premium to our U.S. counterparts. I hope we get there again. Peter talked about us being a consistent free cash flow producer. We will use that cash to invest in our company, strengthen the balance sheet and buyback some shares. We're making decent money. As the stock market grew, we all know once said, at some point, making good money has got to stand for something. Thanks for your time. Our future is bright. Our people are great and our time in the sun is coming soon. Now it's time for questions. We have shareholders, analysts, employees, even some competitors on the phone. So we may need to be a little bit careful with our comments, but we will answer what we can. And thank you all for calling in.
Operator: [Operator Instructions] Your first question comes from the line of Ty Collin from CIBC.
Ty Collin: Maybe just to start on the 2026 guidance. I mean, what sort of assumptions underpin the high and low ends of those ranges that you've given? How would you kind of frame those 2 ends of the outlook?
Peter Cirulis: Yes. Thanks, Ty. So one of the main underpinnings is that we've got compensation on our tariffs, as we mentioned, at the same level or near the same level as 2025. So that's a base assumption in both the low end and the high end of the range, okay? Then second, we would assume that our operational efficiencies, some of the ones that Pat talked about and also what we talked about, I think, in the second quarter earnings call with our development of the AI and moving that through our footprint is also a major underpinning depending on how quickly we can deploy some of those cost savings. That would be in more of the, say, the high end of the range. Then we've got some recovery of some of our plants that make fluid products is another major underpinning in our range.
Ty Collin: Okay. Great. So the expectation is that recoveries are neutral from a margin perspective year-over-year. Did I hear that right?
Peter Cirulis: Yes. Basically, year-over-year will be margin neutral, Yes, on the tariffs side, yes.
Ty Collin: Okay. And what about on the EV side or just other commercial-related recoveries, what are the expectations around that in the 2026 outlook?
Peter Cirulis: Sure. So also, a good question. You'd have to expect that we will have commercial negotiations and offsets as the oscillation and the EVs fits and starts continue to happen. So that will be a part of our business going forward here in the middle term. So as far as performance, if you will, more or less the same on a year-over-year basis. It's going to be in terms of timing, a little bit lumpy. Like we mentioned actually last quarter, we were working on a major negotiation and it didn't happen to fall when we kind of wanted it to, if you will, but we're still working on that. And so the lumpiness of the OCIs, as we call them here, the commercial issues that we negotiate will still be there. But as far as being a component of our guidance, it will be a component of that throughout 2026.
Fred Di Tosto: Had that OCI hit last year, I think it's safe to say that year-over-year will probably be down because I do believe that, that activity as -- although it continues, is starting to normalize, become -- becoming less reliant on that, just given the fact that the volume is starting to stabilize in a particular band. So the whole industry is starting to adjust.
Ty Collin: Right. Okay. And yes, I guess sticking on that question in the EV business. Obviously, as you said, there's been a pretty significant reset there in terms of expectations. I mean, do you think production plans at this point are kind of appropriately aligned with where the market is? Or do you still think that EVs are maybe an area of risk this year?
Pat D'Eramo: This is Pat. They've bottomed out quite a bit, as you know. I don't anticipate significant changes in any of our customers from this point up or down this year. I think they're going to be pretty level for the most part.
Peter Cirulis: Yes. I think some of the recent General Motors announcements of their EV platforms ending a little bit early, that's a part of our outlook as well at the moment. So those have been already announced.
Ty Collin: Okay. Great. And if I could just sneak one more in on the 2028 outlook that you guys gave. Obviously, some very significant growth baked into that. How should we think about the level of investment needed over the next few years to support that outlook?
Peter Cirulis: Yes. So good question as well. So for that, roughly $700 million, I think, in the next couple of years. The way to think about that is roughly around the $300 million range, I would say, approaching, I would say, the depreciation and amortization levels that we've got. As we talked about, some of the -- that's a lot of growth actually and needs a lot of capital. But on the other hand, we've talked about that we are deploying our capital in a more flexible way. So our new generation of, let's say, weld cells and so forth, these are more flexible, can be redeployed with new growth. So that helps mitigate our costs. In addition, we talked about our replacement business. So that takes less capital and also some of these extensions that the customers have talked about. So Fred mentioned as well, that will inherently take less capital than a brand-new program. So for those reasons, we think around $300 million is a good number to go with at the moment.
Pat D'Eramo: Yes. And I think it's important to understand, Peter said it, but we've become particularly good at being able to reutilize capital. If you recall, 5 or 6 years ago, as we started to invest in all the new lines when we won all the work in '18 and '19, we said there would be a number of them would be multigenerational, and we're starting to see that pay off as we go forward.
Operator: Your next question comes from the line of Michael Glen from Raymond James.
Michael Glen: Just on Europe specifically, I'm sort of -- is it safe to assume that this recovery that you're alluding to in the first half of the year is related to the European business?
Pat D'Eramo: I don't think we'll speculate on. Why does it matter?
Michael Glen: No, but it does matter because your European business is losing money, okay? And like what is the outlook for Europe? Because now you're telling us you're not going to be spending any more money in Europe. So are you committed to Europe? What's the outlook for Europe? And do you think Europe having European exposure is an overhang for your stock?
Peter Cirulis: Okay. Now thanks for the clarification, Michael. So I would say in broad terms, the restructuring we've undertaken in the recent past will -- is helpful for us going forward. And it really is a function of, I'd say, the EV recovery in Europe, the volume recovery in Europe. We're at a volume level of industry vehicles around 17 million vehicles in Europe, we're talking about some margins between breakeven and obviously less than in North America, but a decent number for Europe. Our strategy in Europe is to keep the footprint because it is helpful for us when it comes to European customers that are looking to reshore some of their operations, especially in North America. We've seen some of that recently. So for that reason, it's strategic for us. That also occurs in the Asian segment as well. So a lot of our customers in Asia are European-based, and so very helpful there. So while we don't intend to grow the business significantly, we would like to maintain it for customer strategic reasons.
Pat D'Eramo: And it has made a significant impact on our local wins in North America.
Peter Cirulis: Yes. And I would not expect, though, that, Michael, that we would have margins in the area of our North American segment. That we've mentioned as well that those margins in Europe, while we expect to be better than breakeven depending on some of the commercial issues that we negotiate with our customers on occasion, that the restructuring we've taken is starting to bear fruit.
Fred Di Tosto: A good chunk of our growth is from European customers.
Michael Glen: And how -- is Europe right now, can you -- is it a drag on your free cash profile?
Fred Di Tosto: I mean I wouldn't necessarily say that. I think the market has not been kind right now from a volume perspective there. And I don't know if you picked up on our comments. If the volumes were more normalized, we would be positive. We have proven that in the past that we can actually make money in Europe. So we do expect to get back there at some point, but we need some cooperation from the markets. And while that happens, we're managing our capital profile there and making sure that it doesn't necessarily create a big drag from a free cash flow perspective. So we're working within, call it, internal constraints, if you will.
Michael Glen: Okay. And final question, are you guys -- a few years ago, you used to provide quarterly guidance for us. And I would tell you that, that was always a very helpful item in terms of some of the forecasting we did. Is there any plan in place to return to that single quarterly forecast?
Peter Cirulis: Not at the moment, Michael. No, there's not a plan to do that, especially with some of -- just every week, there's something new here. So we don't feel prudent at the moment to provide that again at the moment.
Pat D'Eramo: That's compounded by the lumpiness that Fred talked about, too, in the commercial settlements because you really don't know when you're going to land them. You know you're going to land them, but they don't necessarily happen when you think they're going to happen.
Fred Di Tosto: We also had some comments that what would be helpful is what the next year look like and then update that and going 3 years out or effectively trend lines. But the customer and people dealing with tariff issues and everything else, they don't go by a calendar. They go by -- it's a more detailed, complicated process in terms of where we are. And yes, there's some lumpiness, especially when you get into the commercial discussions.
Operator: [Operator Instructions] Your next question comes from the line of Brian Morrison from TD Securities.
Brian Morrison: I missed a little bit of the call, but the EV shortfall settlement that Michael was just asking about, what was the high-level magnitude or basis point impact in Q4 that shifted into the first half of next year?
Peter Cirulis: Yes. We're not going to disclose that since we're still in the negotiation phase for that particular commercial issue.
Brian Morrison: Okay. Maybe, Peter, if you use the midpoint of your '26 and '28 sales and margin guide, your incremental margin is 13.5%. Is this not typically around 20% with your fixed cost structure? Just clarify how you think of increments? Or is this maybe lower-margin European business?
Peter Cirulis: No. I would -- it's a good assumption to say that our normal flow-through is 20% to 30% flow-through on incremental sales.
Brian Morrison: So why then is the '26 to '28 increment 13.5%?
Peter Cirulis: So we'll have some launch cost in there in the middle, right? So most of the revenue and the margin that I mentioned will take place in the '28 time frame. So there'll be some launch costs there in the middle that we'll have to work ourselves through.
Brian Morrison: That impacts '28 as well?
Peter Cirulis: So there'll be normal inflation that we've got to offset in that year and the incremental depreciation that will take place in that year.
Fred Di Tosto: I would say there would be some launch costs in '28 as well because not all this work will be launching on Jan 1. It will be throughout the year.
Peter Cirulis: The year could be...
Fred Di Tosto: So that will be an element of a drag, I guess, in '28 as well. But you'll see more of it in '27.
Peter Cirulis: Work that we're winning now, a lot of that is launching in 2028, and we just had a really good quarter of winning work. That will be 2028 work for the most part.
Pat D'Eramo: Right. One of the things that's very encouraging is we're seeing a lot more activity from the OEMs more recently as far as RFQs and so forth. So we expect it to continue to get busier.
Brian Morrison: Okay. That makes sense. Maybe just -- maybe for Peter, just when I look at the margin profile, the increase from '25 to '26, just the drivers, I assume it's operating efficiencies, restructuring benefits, the benefit of the settlement that we talked about from '25 and then offset by margin decrements to get a net positive impact on the margin outlook. Are those the key drivers? Is there anything else that I'm missing?
Peter Cirulis: No, those are the main drivers. We're going to have, let's say, the plant operating elements that Pat mentioned and some of our AI built in there, if you will, machine learning activities for improvements of quality and being able to do that faster. Then we've got material improvements through some resourcing as we work through these tariff elements. Then you'll have the offsets of the normal inflation in there.
Brian Morrison: Okay. Okay. And maybe last question, and Rob, it's more of a curiosity than anything else, but why the long focus upon the valuation discount? I mean it's even greater when you include Nano as cash. Is this -- does this do you think put you on the screen as a target? Or does it make you think that your leverage is below your target and strong free cash flow, you should do an SIB. I'm just -- I'm curious why the focus on it today.
Robert Wildeboer: Just reflecting thoughts. So some people have asked us the question to, okay, why don't we just talk to it? A lot of our investors hear the call, a lot of our shareholders hear the call, our employees hear the call. We get that question a lot and just figured we'd address it. I got to come up with something. We don't want to just talk about tariffs all the time.
Brian Morrison: Nobody does.
Robert Wildeboer: I agree with you 100%.
Operator: There are no further questions at this time. I would like to turn the call back to Mr. Rob Wildeboer for closing comments. Please go ahead.
Robert Wildeboer: Well, thanks very much for giving us part of your evening. Look forward to any follow-ups, any questions, you know where to get a hold of us and always happy to talk to you. Have a great night.
Operator: This brings to a close today's conference call. You may now disconnect your lines. Thank you for participating, and have a pleasant day.